Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CECONOMY Q1 2025-2026 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I will now hand over to Fabienne Caron, Vice President, Investor Relations and Communications. Please go ahead.
Fabienne Caron: Thank you. Good morning, everyone, and welcome to our Q1 results. I'm joined today by our CEO, Dr. Kai-Ulrich Deissner; and our CFO, Remko Rijnders. Before we begin, a brief reminder. Today's discussion will include forward-looking statements. Please refer to the disclaimer in the presentation for important information. This call is being recorded, and the recorded (sic) [ recording ] will be available on our website later today. With that, I'm pleased to hand over to Kai to walk you through the key highlights. Kai, over to you.
Kai-Ulrich Deissner: Thank you, Fabienne. Good morning, everyone. Thank you for joining us today. Together with my partner in crime, our trusted CFO, Remko Rijnders, I will soon take you through the results of our first quarter in financial year '25-'26. But let's first recognize, Q1 is a very important quarter for us. It includes the full peak season around Black Week and Singles Day and Cyber Week and Christmas. And in that quarter, we see millions of customers visiting our stores and our app. So at least statistically, you personally will have been part of those customers, too, and hopefully, even in real life and not just statistically. But effectively, it's a stress test for us, a stress test to our business model and how well we serve customers. So the key message here today is we've delivered, and we have successfully completed that stress test. Now over the past many quarters, we said it time and again, we have been on a clear strategic journey, transforming CECONOMY from a traditional retailer into what we call a true omnichannel service platform. Quarter-by-quarter, this strategy is paying off also in this quarter. Just to remind you, we're tackling this transformation from 2 angles. First, we're building our business beyond traditional retail with some significant growth areas, as we call them, that continue to perform really well. On a full year basis, this is now already a EUR 1 billion business. But the second, the real driver here is our customers because they fundamentally changed how they think about shopping and therefore, what they expect from us. Now every team member across our 11 markets understands this shift and is very focused on delivering what we call experience electronics, putting the customer experience at the heart of what we do every day. We're creating shopping journeys that match what people today want and today need. Even though we still have a lot of work to do naturally, we're making real progress, and we're committed to getting better every day. The results we present to you today underline this, that we're on a path of progress, growth in sales and profitability and customer satisfaction and online share and in our growth businesses. We think this is an exceptional achievement in our sector, particularly in a retail environment that remains highly competitive and volatile. Together, all these elements are a strong foundation for future growth and of course, to reach our midterm targets by the end of this financial year '25-'26. For us, this makes this year so important. It's the finishing stretch of our journey since the Capital Market Day in 2023. Ladies and gentlemen, CECONOMY is on the right path strategically, operationally and financially. Our consistent performance gives us confidence, and that is why we are also confirming our positive outlook for the full year '25-'26. With that, now let's look at those details of Q1. Let me start with an overview on Slide 3. This quarter sends a very clear message. Our strategy is continuing to work and our business continues to have strong momentum because we are ruthlessly putting the customer in the center. Two points to back this up. One highlight I'm particularly proud of, our online share is at an all-time high, 30%. This is not just a number. It's a clear sign of our successful transformation from traditional bricks-and-mortar into an omnichannel retailer. Customers are choosing us across all touch points. And this seamless integration between online and offline is our core strength. Second, at the same time, we've achieved a record NPS, Net Promoter Score, so the recommendations by our customers of 61 in Q1. We read this as a signal of trust from our customers for our focus on service quality, for personalized advice and for simplifying their customer journey. Customer satisfaction is not an add-on to our strategy. It's the core of our experience electronics approach. And when you look at these 2 records together, online share and Net Promoter Score, we are strengthening our foundation and building the basis for future growth. We're improving convenience through our omnichannel capabilities, and we're elevating the experience through service and expertise. That balance is exactly what differentiates us, and it positions CECONOMY with MediaMarkt and Saturn for sustainable long-term growth even in the future. Let's turn to Slide 4. You will see here that our growth continued across all key financial KPIs. Sales, EBIT, EPS, our major performance indicators, all moved in the right direction. We grew our profitability now for the 12th quarter in a row, 3 years quarter by quarter by quarter. That's uniquely meaningful considering the challenging economy that all of us in this sector are facing. Second, sales grew by 3.4% to now EUR 7.6 billion. Adjusted EBIT in absolute figures grew by EUR 31 million or 11% to EUR 311 million in the quarter, and EPS was up 23% to now EUR 0.37. The basis of all of this, our strong sales development, was driven by 2 key factors. First, the increase reflects the strength of our international portfolio of countries. We will tell you more about our countries a bit later. Second, our growth businesses gained even more momentum, proving once again how critical they are now for our long-term profitability profile. Taken together, these developments do give us confidence, confidence that our strategy is working, that our organization is executing with discipline and focus. And that's once again why we are reiterating our full year guidance today. More on that at the end. Let's take one step further and go deeper into the operational performance with the next slide, that's Slide 5. In summary, what you can see here is the strength and the resilience of our business model during peak season. Online sales grew by 6.9%, and I will repeat that our online share increased to an all-time high of 30% and our bricks-and-mortar business also grew during that first quarter. Profitability increased for the 12th consecutive quarter, and our free cash flow was strong at EUR 1.4 billion with an equally strong liquidity position underneath. Even more customers now trust us, become my MediaMarkt or my Saturn members. We grew our loyalty customers to now 57 million. Next, our growth businesses now scale rapidly. This is becoming a defining element of our strategy. As you can see, Service & Solutions income increased significantly and so did Retail Media income. And here's an interesting one. Refurbished unit sales grew almost 400%. There is clearly more and more customer demand for affordable and sustainable options, and we are meeting it. Several of our key countries delivered excellent performances. Turkiye, Spain, Hungary, Italy, all achieved strong sales momentum and better profitability. Now we did see a softer demand in Germany and Austria, but this only shows how valuable our diversified international portfolio is, gives us balanced stability and multiple engines of growth. Overall, Slide 5 demonstrates we're scaling the right businesses. We're executing consistently across the markets, and we're thus building a more resilient and more profitable CECONOMY and MediaMarktSaturn that will continue to grow in the future. The next slide, #6, you will probably recognize. We presented each quarter to give you transparency about the development of the 9 KPIs that we introduced at our Capital Markets Day back in 2023 because these 9 KPIs represent the essence of our strategic focus. And we are getting to the finishing line now. Across the various business fields, Retail Core, Service & Solutions, Marketplace, Space-as-a-Service, Retail Media, we took big steps towards all those targets that will become due on the 30th of September 2026. You take a step back, retail at the core, strong momentum in our growth fields and all of that with a focus on the customer. That's the architecture of our journey that I've outlined. And you can see how this materializes in numbers on this slide. When you look at the structure of our EBIT development, it becomes very clear how significant our growth businesses have become for the group. Our revenue and profit mix is becoming more diversified, more resilient and more future-proof and most importantly, with more growth. As you've seen over the past quarters, this is not just a temporary effect. It marks a structural shift in how value is created within CECONOMY. We're no longer dependent on the traditional retail cycle alone. Instead, we're building a balanced portfolio that combines the stability of our Retail Core with the high margins of Service & Solutions, Marketplace, Private Label, Space-as-a-Service and Retail Media. Now next, a closer look at our peak season on Slide 8. In summary, what we can say, our teams executed exceptionally well across all major product and service categories. Let's start with product. In our Retail Core, we saw strong performance, especially in gaming hardware, floor care, toys and computing. Here's what's sold best, the Nintendo Switch 2, the PlayStation 5, as well as robot vacuum cleaners. And interestingly, we had a substantial sales increase in toys. For example, LEGO, I'm told LEGO flowers are really hot on the market at the moment. So you can see that products that are beyond our core assortment can also become favorites for our customers. PCs also sold very well, mostly driven by laptops. And in this context, here's another interesting detail. We've also just released our very first private label, so own gaming laptop. It's called the [ Experian ]. Now in parallel to this Retail Core business, at the same time, Retail Media grew substantially across the whole portfolio, nearly doubled its web shop ads volume. This business is really scaling rapidly now. And we're -- also, as we anticipated at the end of last year, we're extending our customer base for Retail Media with customers outside the traditional consumer electronics sector. For example, Opel. Opel showcased the new Opel Frontera in various MediaMarkt stores in the Netherlands, another example outside Retail Core. Services & Solutions delivered another strong quarter. This was primarily driven by bundling campaigns and by preparation of those bundles and value-added services in central warehouses, so a more efficient way of producing this. These bundles are key for us to reduce complexity for customers, it's easier to buy and of course, reduce complexity for employees as well. So they drive on the one hand side attachment of service and income, and they also drive efficiency for us. Two examples. We launched maintenance packages in Turkiye. These are designed to extend the lifespan of the device that the customer may have, improve long-term energy efficiency and even help with hygiene conditions, in particular, for household appliances at home. Now, in real life, each maintenance procedure is carried out either on site at the customer or at the service workshop by specialized technical personnel. Second example is the successful launch of what we call the SparKette bundles in Germany. Here, we focus on subscription contracts like antivirus or Microsoft 365 licenses, combined with devices like smartphones and tablets, and there's always a clear price benefit for customers. Final milestone and interesting detail here is the collaboration between our growth field Service & Solutions and Marketplace because we now also offer insurances, not just for the products that we sell in our retail business, but also for Marketplace in Germany, so for third-party products from independent sellers. As you can see, our peak season performance was really broad-based, fully in line with our strategy and operationally really strong. Now before I hand over to Remko, let me have a closer look at one of those longer term trends that we continuously emphasize, and it's circular economy on Slide 9, because this really had some extra momentum in Q1. Customers are actively choosing more and more sustainable and from their perspective, affordable alternatives. You can see that in the numbers. The BetterWay sales share increased another 2 percentage points to 16%. Now those of you who follow us more often and more regularly, please note, we had to redefine our BetterWay scope. So what you're seeing here is the new BetterWay logic. Why? Because new energy labels are being introduced on an EU level. So we withdrew categories [ without ] such a label, that's, for example, vacuum cleaners and coffee machines, and we also introduced new criteria for smartphones. That's why it's the new BetterWay scope increasing 2 percentage points to 16%. But most strikingly, perhaps and importantly, refurbished sales, mainly on the Marketplace for us, grew significantly by 380%. This came from more and more specialized sellers and thus a broader assortment. In December alone, one in 4 products sold on the Marketplace was refurbished. And finally, trade-In numbers also grew. In Spain, we already launched a more efficient trade-In platform for us internally, and it shows promising results. The technology that underlies this simplifies the customer journey, and it increases conversion, and it gives us a better return as a retailer. We'll roll out this platform in more countries throughout this year. But as you can see with all of these developments, we're not just responding to customer expectations. We're actively shaping a more sustainable, more innovative and future-oriented retail model around circularity. Now let me hand over to Remko for a closer look at those financials. Remko?
Remko Rijnders: Yes. Thank you, Kai, and good morning to all of you. Now let me share some more details of our Q1 results. We will start with Slide 11. As Kai already highlighted in the beginning, this is our 12th consecutive quarter with positive EBIT growth, and this in a market which is volatile and competitive. So we can and are extremely proud of this result. Let's look at the headline numbers. We grew sales in Q1 by a solid 3.4%. This number is adjusted for currency and portfolio changes and pre-IAS 29. And our like-for-like sales grew by 3%, that is if you count only comparable selling space and stores already opened 1 year ago. Compared with our overall economic development, particularly in retail, this is a very good result. Now let's look at our regions, starting with DACH and sales. Over the peak season, we faced intensive competition and many customers held back on spending. This was most pronounced in Germany and Austria, leaving sales down with 2.9% versus last year in the DACH region. We balanced that with a better gross margin, thanks to our growth business and by running a tighter cost base, especially our location costs. Overall, EBIT margin was up 10 basis points in the quarter. In Western and Southern Europe, sales rose by 4.7% with growth in every country. Spain and Italy were particularly strong performers. On profitability, EBIT increased strongly with EUR 11 million and margin expanded by 30 basis points. Moving to Eastern Europe. Sales were once again driven by Turkiye. We are pleased to see that our restructuring measures in Poland are gaining traction, leading to a double-digit million improvement in adjusted EBIT in the quarter. For the region overall, adjusted EBIT reached EUR 46 million, equivalent to 4.1% margin, a very strong result, and we are extremely proud of a starting turnaround in Poland. Now let me turn to our largest growth business, Service & Solutions, on Slide 13. In Q1, sales grew by nearly 14% with momentum across both online and in-store channels, truly omnichannel. All service categories increased with extended warranties showing the strongest growth. We are pleased to share that extended warranties are now available on our marketplace in Germany and are being well received by all our customers. We plan to roll this out to additional countries soon. Then to online. Our first-party online sales grew also with 6.9% to EUR 2.2 billion. We recorded a particular strong performance in Hungary, Poland, Switzerland, Turkiye and Spain. And on the back of this, our online share reached a record 30%, the highest level since COVID, a very strong performance in my view. So let me come back to our EBIT development on Slide 15 in more detail. Our gross margin increased by 40 basis points in the quarter, driven by our growth businesses. This highlights that our strategy is working and helps mitigate the impact of a challenging environment. Now on cost. Our adjusted OpEx ratio improved by 20 basis points, thanks to a relentless focus on cost. We are more efficient in marketing while maintaining a stable share of voice in the market. We have also taken measures to further optimize location costs. We will remain disciplined on cost for the remaining part of the year, particularly in DACH region given the market environment. Turning to the full overview on Slide 16 from adjusted EBIT to net profit. Walking down from the adjusted EBIT of EUR 311 million, we recorded limited nonrecurring items. The bulk of those are due to IAS 29 hyperinflation accounting. Consequently, our reported EBIT reached EUR 293 million, which is a robust increase of EUR 64 million year-on-year. Our net financial result improved, thanks to Turkiye. Overall, Q1 delivered higher reported net income and EPS. EPS rose by 23% to EUR 0.37, a solid performance. Then let me continue with free cash flow on Slide 17. Overall, we generated EUR 1.4 billion of positive free cash flow, a very solid performance. This was driven by strong operating performance and seasonal working capital inflows typical for the peak season. We closed the quarter with a strong net position of EUR 2 billion. This completes then as well the financial section, and let me now hand over back to you, Kai.
Kai-Ulrich Deissner: Thanks, Remko. Now what you've just heard from both of us, we continue to have positive momentum strategically, operationally, financially. And we do expect this to continue for financial year '25-'26. That's why we are confidently confirming our outlook. You can see that on Slide 19. We continue to expect a moderate increase in currency and portfolio adjusted total sales with all of our regions contributing to that sales growth. Secondly, we continue to expect an adjusted EBIT of around EUR 500 million. This is still the target for the financial year '25-'26, that we first communicated at our Capital Markets Day in 2023 and ever since. This improvement this year will be driven by the DACH region and the Western and Southern Europe. Finally, as we look ahead, let me give you a perspective on the innovation trends that will long-term shape customer demand in the future. We can see them on Slide 20. First, in household robotics, we expect major progress that will bring smarter, more autonomous solutions into everyday homes, like this picture that you can see here of a floor care robot that can actually climb stairs. We also see strong momentum in smart glasses, where the next generation will finally bring the form factor out of the niche and closer to the mass market. Finally, health tech is another innovative field that we think caters to a larger trend because in this day and age, who doesn't want to be fit. We see fast improvements in health tracking and the use of data here, new devices, new services emerging every month. For us, all of these trends will support traffic, demand and category expansion over the coming quarters. They fundamentally reinforce our belief that consumer electronics will remain one of the most dynamic retail segments. And so we're happy to be in that particular segment. Most importantly, we are ready for this and now stronger than ever. Our stores, our online platforms, our omnichannel infrastructure are well positioned to bring these innovations to consumers in Europe with advice, with service, with installation, with a full set of solutions around the product. And yes, with our partner, JD.com. But to be sure, today was about our Q1 performance, but you will have seen the result of the tender offer, and you will have seen the progress of regulatory approvals. Of course, we will continue to update you always on our website and personally at every major milestone. But to reiterate and to confirm, we continue to expect closing of that transaction within the first half of this calendar year. Now let me conclude with Slide 21, a brief summary of what this quarter tells you about CECONOMY today and about the foundation for the future. Our experience electronics strategy continues to drive higher customer satisfaction, NPS and deeper engagement, even stronger loyalty. The combination of expert advice, seamless online journeys and a growing set of value-added services is clearly resonating with customers. Our Q1 the stress test, as I called it, performance demonstrates we have a strong and balanced portfolio. Our growing high-margin businesses make us stronger. Together, they make the company more resilient, more profitable, exactly what we set out to achieve with our transformation in 2023. By now, our growth business are an integral part of our business, and they continue to grow. In all of that, [ core ] focus remains very disciplined on cost, liquidity and profitability. And with our new strategic partner, JD.com, we now have a unique opportunity to accelerate this development over 12 quarters even further in technology, in logistics, and assortment and many more. Last but not least, we're confirming our outlook for financial year '25-'26, we expect a moderate sales increase and adjusted EBIT of around EUR 500 million. Ladies and gentlemen, these are the main takeaways. We stay confident for the rest of the year. Our execution is in full swing, and we're on a path of future growth. We've started this year with strong momentum, and we're well on track to deliver on our ambitions. Thank you for your attention so far. We're now really looking forward to your questions.
Operator: [Operator Instructions] We are now going to proceed with our first question. The questions come from the line of Matthias Inverardi from Thomson Reuters.
Matthias Inverardi: Can you hear me?
Kai-Ulrich Deissner: We can hear you perfectly well. Proceed.
Matthias Inverardi: Not so surprising, I have a question concerning your Fnac Darty shares. Have you decided yet if you're going to sell them to Mr. Kretinsky or not?
Kai-Ulrich Deissner: Yes. Look, we're still waiting for the concrete and detailed offer. We will then look at that offer in detail and analyze it, and then we will take a decision. No decision has been made yet.
Operator: We have no further questions on the phone line. So I'll hand back for any written questions. Thank you.
Kai-Ulrich Deissner: Caron tells me that we should wait for 1 minute or 2. So please do feel encouraged to ask questions. We're really very willing to engage in whatever conversation you may have. So we'll give you another minute.
Operator: Currently, we have no further questions. [Operator Instructions]
Fabienne Caron: Thank you. We've got a question on chat from Alex Zienkowicz from mwb research. The first part of the question is regarding gross margin. Is it purely driven by mix? Or did you benefit from a lower promotion share? Or were you better on price?
Kai-Ulrich Deissner: Yes. Alex, thanks for your question. So we have stated a couple of times already that we are very [ rigous ] on to grow, but to grow profitable. So first of all, we are really analyzing the profitability per category. It's not mix driven. That's what I can already tell you. So it's a benefit on the gross margin of really [ rigous ] negotiation and pushing the products and offering the products with a better margin. That's true. But it's also related to how we do the customer journey online and offline with better accessory attached, for example, and that helps also in the mix because, of course, the average margin on accessories is for sure, much, much better. So it's a mix effect on accessories and of course, the goods margin as such by being very [ rigous ] where we want to grow and profitable to grow based on customer demand.
Fabienne Caron: The second part of the question is on Poland. Can you provide more color on the EBIT improvement in Poland, please?
Kai-Ulrich Deissner: This is Kai again. I'll take the question on Poland. Remko will take the next one. Now as Remko said, we are actually very proud of the initial signs of turnaround that we've seen in Poland. As you know, we are operating there in a very competitive environment. So we've done several things actually. We set up a new management structure with a new CEO and CFO, both of whom are now on board. And in particular, we improved our capabilities in online and in Service & Solutions. So the positive results in Q1 that we're here reporting are largely due to online, a much better performance in online also in technical capabilities. For example, if you remember, we introduced the Marketplace in Poland only last year. In parallel to all of this, of course, we are reviewing cost structures to get further efficiencies out of the business. But I would -- what I would highlight is, in particular, the new management structure and our increased online performance and capabilities.
Fabienne Caron: The next question is from Philip Brandlein, Lebensmittel Zeitung. First part of the question, looking at the DACH region, how do you plan to improve sales and EBIT?
Remko Rijnders: I will take this question. So looking at the DACH region, we started Q1 slightly below expectation from an EBIT perspective, mainly driven by top line. So what we have an -- a customer demand decreasing. So the next implementation that we are doing at the moment is to simplify it. We have a clear action plan in place where we have on the top line a lot of focus on the top 200 products. So of course, we have many more products, 15,000 SKUs online, but we focus on 200 products that make around about 40% of our sales. And what are we doing? We secure really end-to-end for these 200 products together with our partners, our suppliers that there is always availability on the products that we are really on par with pricing, that we have visibility online but also offline. So to explain, when you as a customer enter the store, these products are immediately visible. And these products also generate 40% of sales. We also make sure that the right accessories are there next to it, both on and offline to make sure that you have the right experience as a customer. On the EBIT side, we have also implemented a very strong cost program. And this cost program, we already mentioned it, is focusing on location costs, but also a lot on indirect spend. So we see that the cost percentage in Germany, percentage of sales has potential also compared to other countries. So we are really benchmarking the cost between the countries, making sure that we get on par with the cost. So to summarize it, on the top line, a extreme focus on the top 200. And on the cost line, it's really making sure that we get for every cost line in Germany on par with the benchmark of our company.
Fabienne Caron: I will bundle the 2 questions together. First is from Philip Brandlein, and the next one is Paul Dean from Churchill Capital. So it's both regarding JD. First, you stated that CECONOMY is ready to accelerate with JD. What will that look like? Is that true that the Joybuy Express service will be available for MediaMarkt soon? And the second part of the question from Paul is asking regarding the AU FSR review, which has been in pre-notification stage since August last year. If you could provide more color on how is this progressing?
Kai-Ulrich Deissner: And I'm happy to do that. Thank you, Philip and Paul, for the questions. Now first of all, on what's our plan with JD. Now let me remind you and reiterate, this is all about growth. So think of this as both top line and profitability growth in the future, centered around what has been the essence of our transformation here as well. So an omnichannel approach, both companies believe in both online and bricks-and-mortar and an approach centered on delivering excellent customer service. So that's the big headline what this is about. Now we've also highlighted a few areas in which we believe there is most potential for them -- for that future growth. One of them is indeed logistics. So we will be looking at faster delivery, better delivery, more reliable delivery quality for our customers. At this stage, however, it is too early to comment on specific services like Joybuy Express. But what I can confirm and what I can reiterate is that delivery capabilities are very much in focus of what we think as growth opportunities together with JD.com. That's on the first part of the question. On the second part of the question on FSR, I cannot give you any color on this. We are in very constructive discussions with JD, and we are in very constructive discussions with all regulatory approval authorities, including the European offices in Brussels, and it is all progressing, as I said, as we had anticipated to be concluded in the first half of this year.
Fabienne Caron: The next question from chat comes from Darja Lema from Bloomberg Intelligence. With EUR 311 million EBIT achieved in Q1, can you provide more color on how you plan to achieve EUR 500 million by the end of the year? Does it involve cost cutting or a significant uplift from your growth businesses such as Retail Media or Services?
Remko Rijnders: Yes, this is Remko. Thanks for your question. So in our EBIT, to start off with, there is always a seasonality, right? So in Q1, we reached 64% of our EBIT ambition or budget and in Q2 at 6% normally, Q3 is around about 1% and then Q4 is -- our Q4 is 29%. So looking at Q1, that's why also Kai already mentioned that our Q1 is and was extremely important to reach our EUR 500 million ambition, and we are right on track with our, yes, projection of the around EUR 500 million EBIT achievement. Now to answer your question a bit more in detail, when it comes to cost, we have said from the beginning, and we keep on doing that, when there is a soft line in DACH, mainly at the moment, we are very [ rigous ] on costs. So especially on the indirect cost, we are taking the initiatives, but also on location costs, for example. So the cost in percentage of sales needs to stay in par of reaching that EUR 500 million. Other than that, our strategy is working. That's what we have seen also in Q1. We keep our strategy. And yes, a big part of that strategy is focusing on accelerating on our growth businesses. And that's what we will do, what we believe in, has paid off for 12 quarters in a row, still paying off. And with that, we will reach the EUR 500 million.
Operator: There are no further questions at this time. So I'll now hand back to Dr. Kai-Ulrich Deissner for closing remarks. Thank you.
Kai-Ulrich Deissner: Yes. I'll take a deep breath to give anybody a chance to still raise their hand, but -- and wait for one more minute before I will close with a few additional comments. But just give everyone one more minute. Okay. Look, thank you for your time and your questions this morning. If you want to engage with us any further through our official channels, we're always very happy to continue those conversations. And if you can't wait for another 3 months to speak to us again, you're very welcome to join our Annual General Meeting. It happens exactly a week today. There are dial-ins for the press available, and you get to see more of this wonderful company in a week's time. And we will be happy to present our Q2 results to you on May 13. Until then, Remko, Fabienne and I wish you all the best. Thank you for your interest, and see you very, very soon. Goodbye.
Remko Rijnders: Thank you. Goodbye.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a good rest of your day.